Operator: Good day, and welcome to the Northern Trust Corporation First Quarter 2024 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, I'd like to turn the call over to Director of Investor Relations, Ms. Jennifer Childe. Please go ahead.
Jennifer Childe: Thank you, Maddie, and good morning, everyone. Welcome to Northern Trust Corporation's first quarter 2024 earnings conference call. Joining me on our call this morning is Mike O'Grady, our Chairman and CEO; Jason Tyler, our Chief Financial Officer; John Landers, our Controller; and Grace Higgins from our Investor Relations team. Our first quarter earnings press release and financial trends report are both available on our website at northerntrust.com. Also on our website, you will find our quarterly earnings review presentation, which we will use to guide today's conference call. This April 16th call is being webcast live on northerntrust.com. The only authorized rebroadcast of this call is the replay that will be made available on our website through May 17th. Northern Trust disclaims any continuing accuracy of the information provided in this call after today. Please refer to our safe harbor statement regarding forward-looking statements on Page 12 of the accompanying presentation, which will apply to our commentary on this call. During today's question-and-answer session, please limit your initial query to one question and one related follow-up. This will allow us to move through the queue and enable as many people as possible the opportunity to ask questions as time permits. Thank you again for joining us today. Let me turn the call over to Mike O'Grady.
Mike O'Grady: Thank you, Jennifer. Let me join in welcoming you to our first quarter 2024 earnings call. We're off to a good start for the year. Our results for the quarter reflect both strength in underlying equity markets and the solid progress we're making against our strategic priorities of optimizing growth, driving productivity, and strengthening resiliency. We generated organic growth relative to both the prior period and prior year and saw healthy momentum inflows across our businesses. Within Wealth Management, we continue to see solid growth in client advisory fees and product level fees increase due to favorable markets. Our Global Family Office performed particularly well in the first quarter, adding several high-profile client relationships. The launch of our book, Secrets of Enterprising Families and the nationwide events created around it have generated significant client engagement and proven to be an attractive source of new lead flow. Asset Servicing generated solid new business growth at attractive margins in the first quarter. As we've discussed, our goal is to generate new business that is scalable. This means, a greater proportion of new mandates that require lower levels of incremental costs. There were several notable wins in the quarter. Northern Trust was appointed to provide a full suite of asset servicing solutions to True Potential, a rapidly growing UK-based wealth management firm, supporting approximately $33 billion in assets under management. Our open architecture approach, derivatives expertise, and consultative manner were key factors in helping us secure this win. We were also appointed as the sole asset servicing provider for Sanlam Asset Management's $9 billion of funds domiciled in Ireland. The award builds upon an existing relationship with Sanlam Investments UK, an integrated trading solutions client. This win shows how increasingly our capital market solutions are becoming leading products for us, bringing new clients to the firm whose relationships then expand into core asset servicing and other ancillary products. The progress we're making and success we're seeing from our One Northern Trust strategy is most evident within asset management. By both enabling and encouraging teams to work in tight coordination, we're delivering clients the solutions and capabilities of the entire firm. More joint meetings between our asset management and asset servicing businesses is leading to more new business opportunities and wins. Asset management has also bolstered the internal team that coordinates with our wealth management business and recently completed a national roadshow meeting with wealth clients and advisors in 29 markets. This provided increased visibility into NTAM’s product leadership and performance, which should lead to increased flows from wealth clients over time. And in the first quarter, asset management also launched several new laddered muni products geared towards wealth clients and a proprietary offshore money market fund for Japanese institutional clients. Overall, asset management generated positive liquidity flows for the fifth consecutive quarter and continued to generate strong momentum within active fixed income and alternatives. In closing, we entered the second quarter with strong market tailwinds and positive new business momentum and are well-positioned to navigate the ongoing macroeconomic and market uncertainty. And with that, I'll turn it over to Jason to review our financial performance. Jason?
Jason Tyler: Thank you, Mike. And let me join Jennifer and Mike in welcoming you to our first quarter 2024 earnings call. Let's dive into the financial results of the quarter starting on Page 4. This morning, we reported first-quarter net income of $215 million, earnings per share of $0.96, and our return on average common equity was 7.3%. As noted on the slide, our reports -- our reported results included a $189 million loss on the sale of securities related to a repositioning of the portfolio we completed in January. They also included a $12.5 million FDIC special assessment, which is in addition to the $85 million we recognized in the fourth quarter. Our assets under custody and administration and assets under management were up sharply on both a sequential and year-over-year basis. Strong equity markets coupled with favorable client flows drove most of the improvement in both periods. Excluding notable items in all periods, revenue was up 6% on a sequential quarter basis and 5% on a year-over-year basis. Expenses were up 4% sequentially and up 6% over the prior year. Trust, investment and other servicing fees totaled $1.1 billion, a 5% sequential increase and a 7% increase compared to last year. Excludable note -- excluding notables in both periods, all other non-interest income on an FTE basis was up 11% sequentially and up 16% over the prior year. We experienced good momentum in our capital markets businesses, particularly FX trading where we saw strong client volume levels. Bond underwriting referral fees were also unusually strong, recognized within securities commission and trading income. Net interest income on an FTE basis was $535 million, up 7% sequentially and down 2% from a year ago. Overall, credit quality remains very strong. Our allowance for credit losses declined 9%, reflecting a reserve release of $8.5 million and the impact of a $10 million charge-off during the quarter, largely due to a large commercial loan. Non-performing loan levels decreased from $64 million to $37 million, the lowest level since 2008. The non-performing loans as a percentage of total loans remain stable at 8 basis points. Turning to our asset servicing results on Page 5. Assets under custody and administration for asset servicing clients were $15.4 trillion at quarter end. Asset servicing fees totaled $640 million. Custody and fund administration fees were $437 million, up 6% year-over-year, reflecting the impact from strong underlying equity markets and new business activities. Other fees were up $6 million sequentially due to seasonally higher fees for benefit payment services and other year-end activities. Assets under management for asset servicing clients were $1.1 trillion. Investment management fees within asset servicing were $140 million, up a strong 11% year-over-year and 7% sequentially. Moving to our wealth management business on Page 6. Assets under management for our wealth management clients were $421 billion. Trust, investment and other servicing fees for wealth management clients were $503 million and up 9% year-over-year and 5% sequentially. Growth within our GFO business is particularly strong, up 11% year-over-year and 9% sequentially. Moving to Page 7, and our balance sheet and net interest income trends. Our average balance sheet increased 6% on a linked quarter basis, primarily due to higher deposit levels. It declined 2% compared to the prior year due to lower borrowings. Average deposits were $112 billion, up nearly $11 billion, or 11% from the fourth quarter, and were meaningfully better than our expectations. We experienced a stronger-than-expected surge in deposits late in the quarter, with an ending balance up $8 billion or 7%, to $124 billion. Despite significant leverage capacity, we reduced our average short-term borrowings by 11% relative to the fourth quarter and total borrowings by 6%. This translated to $535 million in net interest income and a net interest margin of 1.61%. Moving to the asset side of the balance sheet, following the securities sales completed in November and January related to our portfolio repositionings and the increase in deposits, average cash on our balance sheet increased by nearly $10 billion or 38%. The duration of our securities portfolio is now 1.7 years. Average loan balances were just below $42 billion, down 1% both sequentially and relative to the prior year. Our end-of-period loan balances were again elevated at $47 billion, reflected -- reflecting market timing dynamics. Our loans have since returned to approximately $41 billion. The heightened activity at the end of the quarter did not have a material impact on net interest income in either the first or second quarters. The total balance sheet duration continues to be less than one year. Our average liquidity levels remain very strong, with highly liquid assets comprising 58% of our deposits and nearly 50% of total earning assets on average. Our net interest income is highly sensitive to deposit levels and will continue to be driven largely by client deposit behavior. Assuming a stable rate environment, minimal incremental pricing pressure and some variability in deposit volume, we currently expect a 3% to 5% sequential decline in NII. Turning to Page 8. As reported, non-interest expenses were $1.4 billion in the first quarter, down 2% sequentially and up 6% as compared to the prior year. Excluding notable items in both periods as listed on the slide, expenses in the first quarter were up 4% sequentially and up 6% year-over-year, translates to 145 basis points of year-over-year trust fee operating leverage in the quarter. Our expense to trust fee ratio, however, remained elevated at 118%. I'll hit on just a few highlights which exclude all notable items. Compensation expense was up a little over 5% versus the prior year and up 11% sequentially. The sequential increase reflected approximately $45 million in seasonal equity incentive payments and the impact of current-year incentives from higher profitability. Full-time equivalent headcount was essentially flat sequentially and down 800 or 3% over the prior year. Non-compensation expense was up 7% year-over-year, mostly due to increased depreciation and amortization expense within equipment and software as new projects continue to be put into service and growth in tech spend and other consulting areas within outside services. Market-related expenses such as market data, third-party advisory fees and costs associated with our supplemental pension plans, which are sensitive to underlying equity and fixed income movements were also up $13 million year-over-year, which added 100 basis points to our expense growth. Finally, we experienced favorability in the occupancy line, reflecting actions we took last year to rationalize our footprint. As we look out into the second quarter, I'll touch on our largest expense categories. Compensation expense will no longer contain the seasonal equity incentives from Q1, but will include the impact from last year's base pay adjustments of $65 million in the aggregate spread over the second, third, and fourth quarters. It also reflects modest employee headcount growth associated with growth in the underlying businesses. All in, this should translate to a sequential decrease of $35 million to $40 million. Within outside services, we could see as much as a $10 million to $15 million sequential lift, reflecting ongoing technology, including costs related to cybersecurity and other resiliency expenditures. We also expect to incur the lagged impact from various market-related fees. Within equipment and software, we also expect to see a $10 million to $15 million sequential increase, of which roughly half is incremental depreciation and amortization. Sequentially, growth was flat in the first quarter, so there's some timing-related impact, but we don't expect to see the same step up in the second half of the year. Our capital levels and regulatory ratios remain strong in the quarter, and we continue to operate at levels well above our required regulatory minimums. Our Common Equity Tier 1 ratio under the standardized approach was flat with the prior quarter at 11.4% as capital accretion offset a modest increase in risk-weighted asset levels. This reflects a 440 basis point buffer above our regulatory requirements. Tier 1 leverage ratio was 7.8%, down 30 basis points from the prior quarter. In quarter end, our unrealized pretax loss on available-for-sale securities was $710 million. Overall, we returned $285 million to common shareholders in the quarter through cash dividends of $153 million and common stock repurchases of $132 million. And with that, Maddie, please open the line for questions.
Operator: Thank you. [Operator Instructions]. We will take our first question from Alex Blostein with Goldman Sachs.
Mike O’Grady: Good morning, Alex.
Alex Blostein: Hey, good morning, Jason, Mike, [John and everybody] (ph). So I wanted to start maybe with NII guidance down 3% to 5% for the second quarter. Sounds like the biggest driver there is your assumptions around deposits. So maybe give us a sense of kind of where deposits stand today, perhaps what was the source of upside that you saw over the course of the quarter? And then just curious on within that guide, do you guys assume any benefits from the Visa proceeds that I'm guessing is going to be at least temporarily parked in cash?
Jason Tyler: Yep. So, I'll go through a couple of dynamics there. One, just going back to first quarter and what happened that we saw really nice improvement in deposit levels, and it was across both asset servicing and wealth management. And the overall base increased nicely, but that end of quarter level of $124 billion, there's some very chunky large clients that we always have in place and that sometimes can have -- lead to significant increases. That was definitely the case at the end. So we have seen deposits come down, and in the first couple of weeks of the quarter. And -- but that said, the run-up we had at the end of the quarter, that wasn't really the driver of the average. It happened very late in the quarter. So the end of first quarter in general was good. As we look out into second quarter, we've got to remember that things like the buildup that we have in April for tax payments. which, frankly, was part of the dynamic of where we ended the quarter, that starts to go away as tax payments get made and so deposits come down. That's one of the factors. And so we could even at this point, be at a peak for the quarter. And then you asked about Visa. No significant lift from that in the quarter. You're right, it's going to be parked at least in the short run. We've got ideas on what to do there. But in the very short run, would be parked in cash but not a significant lift. The impact is more from a capital and leverage perspective more than NII in the short run. And just in general, you got to remember, this has just been -- it has been very hard to predict deposit levels. And it's not us driving it. We're -- we did a lot of work with clients to make sure they know that we want deposits and feel like we did a really good job on that. But this has been the most difficult area of the income statement to predict.
Alex Blostein: I got you. Yeah, and all makes sense. I guess as a follow-up to that, so we'll stick with the NII related questions. You guys saw a pretty meaningful pickup in cash as you highlighted, so $10-ish billion sequentially. How are you guys thinking about redeploying that over time? Should we generally expect the cash balances on the asset side of the balance sheet to remain fairly elevated, especially given the sort of uncertain rates backdrop and perhaps higher for longer or at what point do you feel comfortable extending that into securities?
Jason Tyler: Yeah. It's another dynamic that feeds into your first question, actually. We brought duration [on] (ph) the securities portfolio. And more importantly, which feeds into your question, the duration of the balance sheet is very short right now. That was strategic. We felt like that was the right thing to do. That's a big part of why we did the repositioning of the balance sheet. But at a point, we also might take the opportunity to extend a little bit. Usually, the rate curve means that, that would be helpful. But in this rate curve environment, you might end up giving a little bit -- giving up a little bit on NIM. And so you're right that cash, very elevated part of that is because of the chunky nature of some of the deposits. And you just want to stay very short there. And -- but part of it has been strategic as we've let a lot of maturities just roll and then obviously, the repositioning was done intending to come to the shorter part of the yield curve. But where we are now and our anticipation of -- our view of the yield curve, we're more at a neutral point right now. And depending on what we see in the economy might take an opportunity to step out.
Alex Blostein: I got you. All makes sense. Thanks very much, Jason.
Jason Tyler: Sure. Thanks.
Operator: We will take our next question from Ebrahim Poonawala.
Jason Tyler: Good morning, Ebrahim. How are you?
Ebrahim Poonawala: Good morning, Jason. How are you? So I guess maybe moving on expenses. I just want to make sure we heard you right. Comp expense is down about 35% to 40% sequentially. And then I think you counted services and equipment and software both up 10% to 15% quarter-over-quarter?
Jason Tyler: That's right.
Ebrahim Poonawala: So does that imply relatively flat expenses in 2Q? And I guess the question is, just give us some visibility around -- you've talked previously about the focus in terms of flexing expenses lower, bringing the expense growth below last year's 4.8%. Just give us a sense of the work that's being done, your level of confidence in terms of hitting some of those targets around the expense to trust fee asset ratio?
Jason Tyler: Yeah. So first of all, that goal of 5% or below, that is still the goal. And secondly, it's early in the year. And we got through first quarter and a little bit above that. But at the same time, we're still working very hard to get expenses down. And the numbers that we gave in the opening give a sense of some of the bigger line items. But there are other areas where we're continuing to push and even on those items, we're continuing to push hard. We're constantly trying to find opportunities to get expenses down. Enormous focus inside the company. And you're right to confirm the numbers that we had there in things like outside services where we've got tech services and even cloud migration and consulting, those are all areas where we've seen some elevation, all for strategic reasons, but we've got to find productivity and make sure we're finding efficiencies to get expenses where we want them to be early in the year, and we're still pushing for that 5% or better.
Ebrahim Poonawala: Got it. And just I guess one follow-up to...
Jason Tyler: Yeah, one thing, just sorry to interrupt, Ebrahim. Yeah, I think as we think about the first quarter of the year, I think people should also appreciate how much the lift in markets had an impact on our expenses. And so when you think about things anywhere from market data to third-party advisory fees to sub-custody and referenced it quickly earlier on, but even something like the market's impact on our supplemental benefit plans has significant impact on expenses. But for that supplemental benefit plan expense, there's an offsetting increase in revenues. There's no impact to profitability. So we got to put that aside a little bit. And -- but the lift in markets definitely has an impact. And so a lot of the work that we've done in the first quarter and over the last year, it masked a little bit, but that's just something we should all keep in mind as we've gone through this period of the S&P being up 25% year-over-year, 10% to 12% on a sequential quarter basis. That plays into expenses as well.
Ebrahim Poonawala: That's helpful. Thanks for that. And just one quick follow-up. I appreciate that it's very hard to sort of handicap deposit behavior, but just give us a sense of pricing competitively? Have things stabilized, gotten better today versus three or six months ago? Thank you.
Jason Tyler: Pricing specifically and [what’s here] (ph) in deposits. Yeah. We did see -- one of the biggest benefits we had in the quarter was that pricing came through better than we anticipated. We actually were up a couple of basis points in NIM and had anticipated that to go in the opposite direction. And so -- and we've been a broken record saying we're not a price maker or a price taker in this, but I think a lot of the work that we did, communicating with clients and bringing on high-quality deposits, it helped. And so it appears that, that pricing pressure that we were experiencing very significantly in third quarter in particular, it has abated things, less pressure on that dynamic right now.
Ebrahim Poonawala: Got it. Thank you.
Jason Tyler: You bet.
Operator: We will take our next question from Ken Usdin with Jefferies.
Jason Tyler: Good morning, Ken. How are you doing? Ken, if you are talking, you are muted.
Mokshith Reddy: Hey guys, this is Mokshith on behalf of Ken. Could you just talk about your servicing pipelines and just your wealth management growth? Just some more color on that would be fantastic.
Jason Tyler: Sure.
Mike O’Grady: Sure. I'll start off with wealth management. So we did see nice organic growth in the first quarter, and we expect that to continue as we go forward. As was mentioned in the commentary there, I continue to see it on the advisory fee side of the equation. And also, we've gone through a number of quarters where the product level fees in wealth management have been more of a headwind just related to flows in some of the specific asset categories, and we saw that subside in the first quarter. So we expect that to also be a positive going forward. And you heard our family office business growing at a higher rate in the first quarter, also seeing strength in ultra-high net worth, which -- those are the two segments that we're primarily focused on. And I would say in asset servicing, the growth has been relatively broad-based, certainly seeing strength with asset owners in North America, but also in Europe as well. So that has been a positive. And we're seeing it outside of, I'll say, core asset servicing with the capital markets area being an area where with integrated trading solutions, we're seeing that as a, I'll say, an increasingly utilized area for us to generate new relationships and then broaden them out from there. So I feel good about the breadth of the organic growth in that business as well.
Mokshith Reddy: Got it. Just another question on just flow of client assets between cash and fee generating and where that stands?
Jason Tyler: Yeah. So the -- overall, the cash has been obviously a positive story, not just in deposits, but also in our money market mutual fund complex, which is up meaningfully sequentially and year-over-year. And that complex is very important to us. It's highly profitable. it's large. So our most sophisticated clients see it as a good opportunity to invest there with good yield with the benefits of being in a collective fund but at the same time, not having significant concentration. And so the overall liquidity and cash in the investment management business, but also in the broader financial model has played very significantly into the strength of the quarter.
Mokshith Reddy: Thanks for taking my questions.
Jason Tyler: Of course.
Operator: We will take our next question from Betsy Graseck with Morgan Stanley.
Betsy Graseck: Hi, good morning.
Jason Tyler: Good morning, Betsy. Nice to hear you. Welcome back.
Betsy Graseck: Good, thanks. Just wanted to make sure you could hear me. So I guess two questions. One on capital. And I realize that your business model is one that is capital rich. And just wanted to understand how you think about capital -- levels of capital accretion and when is the right time to start leaning in more to buybacks given the excess capital that you have.
Jason Tyler: So the -- you're right that the capital levels are strong. And even with where we are right now at 11.4% in CET1, I'd argue that that's a little artificially low right now. We talked about the fact that loans were elevated because of the operational dynamics at the end of the quarter. And so we expect -- RWA is already down as a result of loan volumes, which we mentioned earlier coming back more to normal levels. Plus, we've got $700 million in AOCI, pulling the par, plus we've got Visa, and plus we're still returning on an operating basis at a good level. And so those are all good. They're also -- and you're right to note that we like having strong capital levels and still able to develop good returns at these levels. And we also are always looking at where our peers are to make sure that when we say strong, it's not just absolute, but relative. Now all that said, particularly with Visa coming online, you can imagine likely going to have an upward impact on the trajectory of share repurchase. It's not like we're going to do something enormous right away, but it goes into our capital framework and with capital levels being higher as a result of that and even in anticipation of it, it obviously will have an upward lift, all other things equal.
Betsy Graseck: Okay. Great. And then, separate question just on -- I think you mentioned earlier about opportunities to extend duration in the book -- in the securities book at some point, and maybe you could just give us some context and color as to how you're thinking about that, given the fact that typically you have a very, very short duration. So when you say longer duration, what are you thinking about in terms of how long is long? Thanks.
Jason Tyler: Yeah. That’s a good focus and everything is relative. So we had gotten out to about two years on the securities portfolio a couple of years ago and now being meaningfully under one year, it gives you at least some sense of range. But I also think it's important to note everybody should take a lesson from what we've seen in the markets over the last couple -- in banking over the last year that deposits have a shorter duration than anybody anticipated. And so on bias, we're going to be shorter relative to history than what we have been before but we're quite short right now. And particularly as deposits seem to be leveling off in general and a little bit more predictable, it gives us an opportunity and more confidence and then we have to test, do we see the investment opportunities? And does the yield curve indicate to us that it makes sense to go out. And that's part of the reason that we've been shorter. We felt like it was -- that it was going to be better to be at the short end of the curve over the last year that led to that repositioning work that we did. And so it's not going to be dramatic, but given the way the shape of the yield curve is right now, any step-out protects us nicely from significant declines in short-term rates, but it gives up a little bit in short-term NII.
Betsy Graseck: Yeah, got it. Okay. Thank you. That's very clear.
Jason Tyler: Great.
Operator: We will take our next question from Brennan Hawken with UBS.
Jason Tyler: Good morning, Brennan.
Brennan Hawken: Good morning. Thanks for taking my questions. Hey, how are you, Jason? Got a couple of follow-ups. One on the deposit front. Jason, you commented how deposits have declined, but it seemed like you were commenting more on an EOP basis than versus the average. We saw the average balances of above that $100 million to $110 million range that you had previously talked about, we saw some stability in noninterest bearing. So when we think about the go forward on an average basis, have we hit a level where now things should be relatively stable comparing it to where we were on an average basis? I appreciate that you said this is the hardest part of the balance sheet to predict. So I recognize I'm asking a challenging question.
Jason Tyler: Yeah. I think I said our overall financial results to predict. It's been really hard. That's -- you're right to point out that the comments I made were relative to the $124 million. We have seen, obviously, balances come down. We naturally do the first couple of weeks of the quarter. But this dynamic of tax payments is one that can have an impact. And also just the fact that clients may be doing exactly what we were talking about a minute ago with Betsy's question of thinking about redeploying out of cash into different types of securities and maybe buying treasuries, that has a dynamic as well or maybe moving into money market funds to pick up, even if it's not six months or two years of duration, taking up 45 days. And so, all those dynamics have a downward impact on average deposits. And we just want to make sure we're prepared for that as we think about the scenarios. We're trying to give you guys a reasonable estimate of the upside downside that we feel. And -- but that -- having deposits down meaningfully in the quarter, that's inside our expectation of what could happen.
Mike O’Grady: And, Brennan, it's Mike. Just to add at a very macro level, if you just look at deposits starting back pre-pandemic and then quantitative easing obviously had a very meaningful impact on those deposit levels going up. And then we saw the reverse with quantitative tightening. And so some of this will depend on just the broader macro impact of tightening and when the Fed and other central banks decide to stop bringing down the size of their balance sheet. And I think then we'll reach a new level of normalization of deposit levels. And right now, we're, I would say, well above the pre-pandemic quantitative easing levels. So to the extent that we're closer to the end of quantitative tightening, the expectation would be that we start to settle out somewhere in this neighborhood.
Operator: We will take our next question from Brian Bedell with Deutsche Bank.
Jason Tyler: Good morning, Brian.
Brian Bedell: Great. Thanks. Good morning, good morning. If I can ask my first question on NII. So just looking at the second half and of course, everything is difficult to predict with deposits and everything. But if you can just talk about how Visa might work its way, I think there's a couple of stages of deployment, so it's more of a 3Q and 4Q lift versus 2Q. I think you said it was pretty minimal for the 2Q guide. Maybe just talk about the timing of that? And then I guess, do you see a scenario in which you might actually have positive net interest revenue growth in '24 versus '23 given the really strong start to the year?
Jason Tyler: Sure. So just on timing of Visa, you're right. We'll be able to get a portion of it done here in the second quarter, but some of it will bleed over into third quarter. And if you're just correlating to what's the impact on NII, obviously, that -- it doesn't have that much lift just because we're not getting as much timing from it. But you're right, there will be some lift. But I’ll come back to the -- the biggest benefit of Visa is more on its capital and our liquidity. If you think about the most simplest component of putting those dollars at the Fed at IOER or IORB, then you don't get a dramatic lift beyond what would happen with a $0.5 billion or $700 million deposit coming in. And so at no cost, but it's not that dramatic of an impact. And so the real help is a little bit longer term and us being able to think about strategic ways to deploy that and ensuring that we get a good return on it. So we're trying to keep a lot of different paths open. But -- and again, this is also half of the position that we're talking about this year. there's still another half to come, hopefully, next year and some of that may bleed further.
Brian Bedell: And then on the possibility for NII growth in '24, given the start?
Jason Tyler: Yeah. I think it's -- you started with it. It's so early in the year to predict that and to predict where things go. We're still getting some lift from different components of maturities coming in and other elements. And so there are some tailwinds that we have, but it's very difficult to predict that far out.
Brian Bedell: Yep. And then just on expenses, the second quarter, the numbers you gave, obviously, there was just the biggest categories that looks to me like that [Technical Difficulty] guidance that you gave, not including other things. Just I guess if you can confirm if that's accurate. And then based on your comments of working harder on expenses and getting some of this -- looks to be some of that seasonal lift in the second half, kind of getting pulled forward, should we maybe less expense build in the second half versus the second quarter that we typically see on the seasonal lift? And then putting that all together is -- I know you're targeting obviously positive operating leverage on fees. But if you actually have a good NII backdrop, maybe we actually potentially see positive operating leverage inclusive of NII, so on total revenue.
Jason Tyler: Yeah. So I'm going to hit the second and third parts of that. You broke up on the first. I'm going to ask you to repeat it when I go through part of it. On the second half lift in expenses, absolutely right. Second quarter is a big step-up. It's a big step-up in both outside services and equipment and software, not seeing those types of increases in the second half at all. Not saying they're going to be flat, but definitely not -- that's not the trajectory that we will be on. And we're working very hard to find productivity and a lot of that can be inside this year. And so still work to be done there. And then as we think about fee operating leverage, that's what we focus a lot on. I mean the NII is unpredictable, and it's less correlated from a management perspective to expenses. And so the real focus is on fee operating leverage. And so -- and that's how we think about the financial model and ensuring that we're being disciplined about the expenses relative to what we're bringing on. Mike talked about bringing on more scalable business that has -- that improves our chances of getting good fee operating leverage, but I wouldn't comment on overall operating leverage given the volatility and lack of controllability in NII. But tell me what we missed on the first part of your question.
Brian Bedell: It was just a technical on the guidance you gave for 2Q. I think it implies expenses down like $10 million to $15 million versus 1Q, just on at least the categories that you talked about and the three different ranges that you put out there. I just want to make sure that was -- I want to confirm that was accurate.
Jason Tyler: Yeah. Let me -- I can go through the chunks that we talked about really quickly. So the implication would be that compensation would be down $35 million to $40 million and equipment, software and outside services each up $10 million to $15 million.
Brian Bedell: Yep. Okay, great. Thank you very much.
Jason Tyler: You bet.
Operator: We will take the next question from David Smith with Autonomous Research.
Jason Tyler: Hey, David.
David Smith: Good morning. Just speaking a bit more about balance sheet positioning, setting aside the somewhat artificial nature of the 10-K asset sensitivity disclosures everyone has, can you give us your best real-world guess right now for the incremental NII impact of more versus fewer Fed cuts, putting both pricing and balance sheet volume dynamics together?
Jason Tyler: Yeah. It's assuming -- you're right to point to the supplemental disclosures have the sensitivities to it. But if you're thinking more about -- those are more stressed, up 100 basis points, 200 basis points and more. If you're thinking more about single or double rate cuts, then it's difficult to -- it's actually difficult to tell. And you can see just assuming what's more likely of a 25 basis points or 50 basis point decline. We're going to be following the market and what happens there. And there are scenarios in which you could see banks trying to hold on to deposits and others saying that they want to hold on to margin. And so even on the way up, it was not a linear exercise for us. The betas were very low at the beginning of the increase. And then at the end of the increasing cycle, the betas were very, very high, in some instances, over 100%. And so it's just difficult to predict right now. There's no science. We debate internally even what the most likely impact is for these first couple of cuts on the way down.
David Smith: Okay. And then one other NII follow-up. Do you think you're done with securities repositions at this point? Or could we see another one later in the year?
Jason Tyler: Unlikely we'll see another one. We got a lot of the -- a lot of what we did, a lot of the very low-yielding securities. And remember, there's real benefit from a capital perspective as well and being able to take some of the securities that had negative RWA treatment and reinvest those in cash at a point in the yield curve where we felt that's where we wanted to be incrementally from a strategic perspective, from an investment perspective and also have improvement from the capital perspective. That trade, each time we've done it, that component of the repositioning has lessened an impact. And so it is much less likely, but that's just given the current state of the yield curve and how we feel about the economic environment.
David Smith: And lastly, anything you can do to help us think about using the Visa proceeds for organic versus inorganic investment opportunities?
Jason Tyler: Yeah. It's -- we're obviously looking really hard at ways internally to make sure we're investing anywhere we can to grow at attractive capital levels. Our return on capital is -- targets are 10% to 15%, and we're putting that same type of framework in place as this capital comes in. And to the extent, the best thing we can do is grow with our existing types of businesses and with our existing clients. That said, we have not been short capital before. And so it's not like there are things we could do, but we couldn't afford it from a capital perspective. And so it's -- it's not like there's a laundry list of things we can say, now we can go get this done. And so we're going to be prudent and patient, but at the same time, not hesitate to reflect our capital framework, which at this point would indicate, all other things equal, a little bit bias heavier on share repurchase.
David Smith: That's helpful. Thank you.
Jason Tyler: Sure.
Operator: We will take our next question from Steven Chubak with Wolfe Research.
Sharon Leung: Hey, good morning. This is actually Sharon Leung filling in for Steven this morning. Just a quick follow-up on non-interest bearing deposits. They seem to have stabilized this quarter and are now about 15% of the total. Do you think that this is kind of like a good trough level, even if you see continued deposit pressures related to QT, et cetera?
Jason Tyler: They -- it's definitely flattened out in terms of even the percentage decline despite the fact that we had an overall increase in deposits. And so non-interest bearing deposits performed well relative to what we would have expected and definitely seemed to have flattened out. Didn't grow as much as the rest of the base, but performed well in the period. So not predicting a significant movement down at this point.
Sharon Leung: Okay, great. And then just to follow up on AUM and AUC growth, saw healthy expansion, but can you talk about what maybe drove some of the pressure on fee rates across your business this quarter?
Jason Tyler: Yeah, the fee rates, I think, is -- I always caution to focus on that when we apply it to our asset levels, whether it's on assets under management or assets under custody, because only a portion of the business, roughly half is even tied to asset levels and then a lot of the contracts that we have get to transaction volumes and then there's significant mix shift. Areas like our family office business are going to have a lower overall yield on assets relative to the regions in wealth management, for example. And then there's other components in asset servicing that are very similar. And so we actually don't do a lot of analysis on -- as we're unpacking the quarter or the year, we're not looking at those rate changes as the biggest indicators of what's happening in the business. We're looking more granularly at what's happening with our clients, the mix within different products and what's happening in the regions and family office, et cetera.
Sharon Leung: Great. Thank you.
Jason Tyler: Sure.
Operator: We do not have any further questions. I would like to turn the call back over to Jennifer Childe for closing remarks.
Jennifer Childe: Thanks, operator, and thanks everyone for joining us today. We look forward to speaking with you again in the future.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.